Executives: Jonathan H. Cohen - Chief Executive Officer, Interested Director and Member of Investment Committee Bruce L. Rubin - Senior Vice President, Controller and Treasurer
Operator: Good morning. This is the TICC Capital Corp. Second Quarter 2014 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Jonathan Cohen. Mr. Cohen, please go ahead.
Jonathan H. Cohen: Thank you. Good morning, and welcome, everyone to the TICC Capital Corp. Second Quarter 2014 Earnings Conference Call. I'm joined today by Saul Rosenthal, our President and Chief Operating Officer; Patrick Conroy, our Chief Financial Officer; and Bruce Rubin, our Controller and Treasurer. Bruce, could you open the call today with the discussion regarding forward-looking statements?
Bruce L. Rubin: Sure, Jonathan. Today's call is being recorded. An audio replay of the conference call will be available for 30 days. Replay information is included in our press release that was released earlier this morning. Please note that this call is the property of TICC Capital Corp. Any unauthorized rebroadcast of this call in any form is strictly prohibited. I'd also like to call your attention to the customary disclosure in our press release this morning regarding forward-looking information. Today's conference call includes forward-looking statements and projections and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements unless required to do so by law. To obtain copies of our latest SEC filings, please visit our website at www.ticc.com. With that, I'll turn the call back to Jonathan.
Jonathan H. Cohen: Thanks, Bruce. As we noted in our press release this morning, TICC reported core net investment income of approximately $0.28 per share for the second quarter of 2014. We reported total investment income of approximately $29.9 million for the quarter, representing an increase of approximately $1.3 million from the first quarter of 2014. That increase was largely due to greater interest income and fee income generated by several of our CLO equity investments during the second quarter. Our second quarter GAAP net investment income was approximately $17.4 million, or $0.29 per share, which includes the impact of the capital gains incentive fee accrual reversal of approximately $856,000. Excluding the impact of that fee accrual reversal, our core net investment income was approximately $16.6 million or $0.28 per share. We also recorded net realized capital losses of approximately $7.8 million and net unrealized depreciation of approximately $3.5 million for the quarter, which includes the reversal of net unrealized depreciation associated with the second quarter realization events. As a result of those unrealized and realized gains and losses, we had a net increase in net assets resulting from operations of approximately $13.1 million for the quarter, or approximately $0.22 per share. We believe that the credit quality of our portfolio remains stable. Our weighted average credit rating on a fair value basis stood at 2.1 at the end of the second quarter of 2014, compared to 2.2 at the end of -- in the first quarter of 2014. We note that a lower credit rating represents a stronger credit quality. At June 30, 2014, net asset value per share stood at $9.71 compared with a net asset value at the end of the first quarter of $9.78. During the second quarter of 2014, we made additional investments totaling approximately $178 million. The additional investments consisted of approximately $152 million in corporate securities and $26 million in CLO equity positions. For the second quarter, we received proceeds of approximately $150 million from repayments, sales and amortization payments on our debt investments. For the quarter ended June 30, 2014, TICC recorded income from our investment portfolio as follows: approximately $13.3 million from our debt investments; approximately $14.8 million from our CLO equity investments; and approximately $1.8 million from all other income. At June 30, 2014, the weighted average yield of our income-producing investments on a cost basis was approximately 12.2% compared with 12.9% at March 31, 2014. I'd note that at June 30, we did not have any investments on nonaccrual status. The company's Board of Directors has declared a distribution of $0.29 per share for the third quarter of this year payable on September 30, 2014, to stockholders of record as of September 16. Additional information about TICC's second quarter performance will be posted to our website at www.ticc.com. And with that, operator, we're happy now to open the call for any questions.
Operator: [Operator Instructions] There are no questions. I'll turn the conference back over to Mr. Cohen.
Jonathan H. Cohen: All right. Thanks very much. I'd like to thank everybody for their interest in TICC Capital Corp. and for their attendance on this call. We look forward to speaking you at -- speaking to you again shortly or at the next quarter's call. Thanks very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may disconnect.